Holly Schoenfeldt: Good morning everyone, and thank you for joining us today for our webcast announcing U.S. Global Investors results for the second quarter of 2026. On the next slide, I'd like to Introduce the presenters for today's program, which are Frank Holmes, U.S. Global Investors' CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself, Holly Schoenfeldt, Director of Marketing. On the next slide, during this webcast, we may make forward-looking statements about relative business outlook. Any forward-looking statements and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-Q filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statements. Any statements are made as of today, and U.S. Global accepts no obligation to update them in the future. All right. On to the next slide. We're always grateful for our continued support of our valued shareholders. So if you'd like to receive one of our signature USGI hats featured here, just send us your mailing address to info@usfunds.com and we'll gladly ship one out to you. All right. On to the next slide. I want to briefly review the company. U.S. Global Investors is an innovative investment manager with vast experience in global markets and specialized sectors. We use a quantamental strategy to create thematic smart beta 2.0 products. The company was originally founded as an investment club, becoming a registered investment adviser in 1968 and has a long-standing history of global investing and launching first-of-their-kind investment products, including the first no-load gold fund. Finally, we are experts in thematic investing, in particular, gold and precious metals, natural resources, airlines and luxury goods, all using a quantamental approach that includes both macro and micro factors. All right. Moving on to the next slide. We often open up our presentations with this slide known as the DNA of volatility. It's a helpful reminder that market fluctuations are a natural part of long-term investing. And with that perspective in mind, I do want to hand it now over to our CEO, Frank Holmes. Frank?
Frank Holmes: Thank you, Holly, and thank you, everyone, for listening to our presentation. And yes, there's no doubt it's important to recognize the DNA of volatility and managing life is about managing expectations. And it's a nonevent for gold, as you can see, and that's an important part of our assets to go up the same as the S&P 500. And I can share with you 10 years ago, that number was 2%. And 25 years ago, the daily volatility for gold was 3%. And for stocks, it was more like 9%. So the volatility has come down, but we do see gold stocks still exhibit 2x the volatility of the S&P and as you can see over 10 days, it's 6% volatility. And that's really important. And when you look at Arca Airline, which is our biggest ETF, the volatility is also quite large. It's plus or minus 2% a day. And a lot of that has to come from the oil market, the volatility of oil because it's the biggest line item expense. And then 10 days is 7%. And Bitcoin is the same as the airline index when you look over 10 days, which is amazing to me. And HIVE Digital was a company we launched and created and cofounded in 2017 because it was -- we were unable to launch a Bitcoin ETF and it's been our proxy in that whole space. Next, please. You can't connect the dots looking forward. You can only connect them looking backwards. So you have to trust that the dots will somehow connect in your future. In my storytelling today, I'm going to try to weave through the dots and connect them for you because I love that quote, and it's also really helpful when you go back and you use AI today. So often it uses [ Bayes' theorem ], which you can ask is something statistically relevant to the history over the past year, 3 years, 5 years, 10 years or decades. It's a mathematical way, but it's looking back for the dots. Next, please. So we're in an industry as fund managers and mutual funds and ETFs. And here is really important when we launched our first ETF it had to be -- active was not basically accepted. They want a fixed amount. And that's changed, as you can see, that actively managed ETF domestic funds are growing. They're being accepted much more as the growth of ETFs are uberizing mutual funds. And so we still see the net redemptions in actively managed domestic funds versus the ETF space. We still have our mutual funds, and we know that the providers that we partner with, they're going through that journey of how do you convert the ETFs. But I think that we're waiting for them to iron out that concept of that transition from a mutual fund to ETF. So we'll maintain where we have our active mutual funds. They do have higher fees. And in this big rally in gold in the past year and this year-to-date, it does have a bigger impact. When you look at our ETFs, it's 60 basis points for calculating revenue. But for the active, it's more like double that with a 12B-1. So there are higher fees for those asset classes. Next, please. Investment industry 2025 recap that U.S. fund flows hold strong, especially into ETFs, even though there's so much negative news. It's -- '24, '25 were both very positive years. As you can see, '21 was huge. '22 came off. '20, we experienced our biggest growth going in between '20 and '21 during COVID, especially in the jets, which was the most fascinating experience I've ever had and realizing the significance of new disruptive brokerage firms like Robinhood and how many accounts were coming through Robinhood being totally contrarian that you found that the Wall Street was all negative on the airlines, but the Reddit crowd had done the research that after every global crisis, the airlines fall 60% to 70%, and then they go up 100% to 120%. And that's what happened with jets and those assets continue to grow. And then they came off in '22 with the market, and there was such negativity, but the airlines defy that. They've done a phenomenal job in revenue growth and sustainability. Next, please. So record ETF inflows hit nearly $1.5 trillion in 2025, outpacing traditional stock fund flows. There was a launch of several that became billion-dollar products. They were single-purpose corporations where like MicroStrategy or you could take NVIDIA, you could take Tesla, and they would do a 20-day rolling covered writing program against that position. So your stock would go up, but not as much as the -- your ETF single base stock will go up. But it was interesting how retirement people would say, well, I want to be long NVIDIA and Tesla, but I'd rather get the monthly income waiting for it. And that was a big growth part last year. It seems to have cooled off, but we saw that with gold bullion ETF, where the yields were about 12% and the Bitcoin ETF, which we own both of them, those yields running like 24% up to 30% yields on that rolling -- 20-day rolling model because of the volatility. So that has been -- some of our own investments are going into that to increase our overall income flow. And another reason for that, too, is because the HIVE convertible note we had is gone now. They paid it back, but its 8% coupon was gone. And so we've redeployed some of that money into other assets that -- for income and growth. Next, please. I want to thank our top 3 shareholders here. You can see that Gator Capital Management and Vanguard and Perritt. Perritt has been around as a small-cap mutual fund group for a long period of time. And they are just a great group out of Chicago. Vanguard is in their index products and Gator Capital is a deep value looking for growth investments. And we're in some of the other ETFs that are out there and funds like BlackRock has an asset management ETF, and we would show up in theirs. Next, please. So as CEO and Chief Investment Officer, I own about 19% of the company and approximately 99% of the voting control. That all has to do with 40 Act rules without making it complex for you. I have an independent Board of Directors with lots of mutual fund experience and private equity experience to be with as shaping and approving what we do. But -- and I have to go through this process of having an independent Board, the voting control is really predominantly for protecting mutual fund investors. Next, please. Strategy and tactics. Create -- the big part for us was to get in the ETF space was to create the matter products that are sustainable using smart beta 2.0 strategy. It requires a rigorous back testing for thousands of hours. Our mission is to make people feel financially happy and secure that their wealth is consistently growing. It's always hard when you have thematic products because thematic products come and go in the sort of sentiment waves or you can have big government spending, which can help drive that. So we want to make sure that our product is priced competitively. And we know that at 60 basis points, we need to have $50 million basically to breakeven to cover the financial costs, such as audit and legal, but it really doesn't cover all the other portfolio and all the marketing costs, et cetera. So we know that you need to have close to $80 million to start covering those other costs. When you go through $100 million of ETF it starts to be profitable for us in a very strong way. So that's the magic goal for any new product we launch. Strategically, we've been buying back our stock using an algorithm on flat and down days. We bought back just under 10% over the year, 18 months, I think we bought about 10%. But it was important is that when we start this program, it was about 50 million shares all out, and now it's a little over 12 million. So we've consistently been buying back, and we've been buying back more last year when it was just a depressed overall value with our cash. We are very consumed with how we manage to preserve cash for future growth opportunities and market corrections. So we run a lean and mean shop. Bonuses are basically on performance, performance of the funds, performance of cash flow. If we don't have that big performance of assets and cash flow, I don't get a bonus and investment team, they also have that performance. We continue to look at M&A activity to acquire fund assets. We know that mutual funds trade at a big discount on the M&A because the redemptions continue as an asset class. Old investors stay with you. And quite often, they pass away and their kids take over and they want the cash or they want to go and trade ETFs. So we understand that sort of process, and we understand why M&A activity and fund business is a lot less. But ETF business, well, that's different. ETFs have a much lower redemption. There's just -- you get much more trading with it. But what has the strongest in our ecosystem is registered investment advisers. They have the highest price to cash flow, price to multiple valuations if you're looking to go buy that business. So I'm sharing this with you because we do keep in touch with what's going on in the industry. We grow our subscriber base and followers. That's been very important because we believe that long term, having intimate relationship, investors stay with you a longer period of time. And we've increased our exposure to the Bitcoin ecosystem predominantly as HIVE has been redeeming is buying notes that these ETFs that pay out monthly income. Next, please. Why we buy back our stock? Well, the company believes the stock is undervalued and therefore, buys back shares of grow when the price is flat or down from the previous trading day using an algorithm. And this is part of the company's 2-pillar strategy to enhance shareholder value by paying the dividends as well as the buyback amount per year. Over the past several years, we have not increased the dividend. We have increased substantially our buyback dollar amount. Next, please. So the current share repurchase program for the 3 months ended December 31, 2025, the company repurchased a total of 260,195 Class A shares using cash of approximately $664,000. And over the past 18 months, we have shrunk the shares outstanding by -- sorry, 18 months by approximately 10%. Next, please. Grow buyback, to give you a recap, you can see by the quarter, the stock for whatever the reason why had more down days as gold was ripping and assets were growing, the negativity and the volatility was quite immense. And we said there was a great opportunity to buy back our stock, which we did. Next, please. Shareholder yield is an important thought algorithm to take a look at what is the shareholder yield and the model is the dividends you pay, the dollars that you look at the total dollars paid in dividends, the total dollars in stock buybacks and then there's debt reduction. So we haven't paid down any debt because we don't have any debt. We've only had money that we've invested in and paid us back. So what you've seen is that you divide that by the market cap and you compare that to 5-year yields. Next, please. The 5-year yield is an important factor. government bonds because that's what quite often dividend programs are compared to. Quant dividend -- my first model is in 1978 as a young analyst was a dividend growth model, and it was all comparing stocks that are increasing the dividend or the stock buyback, you want to buy those if the yield is higher than the 5-year government bond. If the 5-year government bond yield is higher, then you want to pull back. So it's an interesting model, and I share with you that the company has paid monthly dividends since 2000 -- you can see the current yield share price, but since 2007. So we have been paying and stayed pretty consistent in paying yields on a monthly basis. We're one of the few stocks that really companies that pay on a monthly basis. The Board has reviewed and approved the quarterly -- on a quarterly basis, the dividend. Next, please. So the U.S. Global Investors is committed to returning value to shareholders when compared to treasury yields. Gross shareholder yield is 9.89%. The 10-year government bond is right now at 4.18% and the 5-year is 3.73%. And as I shared with you, that when at 9.89% reflects -- it's still a very attractive proposition for investors. And that is another reason why we'll continue to buy back our stock. Next, please. Average assets under management in billions, we have $1.42 billion, down to $1.26 billion, back up to $1.4 billion, $1.48 billion, and now it's $1.7 billion approximately as of today. And we've seen the stock all of a sudden pop because there's many fund managers that look at the overall funds every day. They can look at total assets and they can do a quick approximation. So in real time, it's -- you could take a look at our overall assets and do a calculation as our revenue growing and what will that do to cash flow. Next, please. The quarterly EBITDA per share over the last 4 quarters, you can see that it was negative last year and turned positive going into September. And in December, it was $0.04 a share. But when you look at earnings, Lisa will give you more color on this, the repayment and the high bond is gone. We have a separate audit firm, KPMG, that oversees just the tax and their analysis on it. Then we have Grant Thornton that does the funds and some calculation came out at the previous auditors, BDO, that things should have been done differently. So it has a swing in our earnings of going negative this quarter, but it comes back next quarter. So when this presentation, I thought it was just best to give you an idea that the EBITDA is improving, and we're very thrilled about that, and it gives us the ability to buy back stock in a very comfortable basis. Next, please. So how do we compare? I like to compare against WisdomTree because they're 100% ETF I'd like to take a look at U.S. Global, which is almost 70% operating revenues related to ETF. Invesco, who owns QQQ, which is the biggest beast out there, 40% of their assets are QQQ. And so the look at who trades at the highest price to book, who trades the lowest, and you can see that WisdomTree, if you're a real GARP investor, deep value, then WisdomTree is overvalued and Invesco and U.S. Global is undervalued. If you look at a return on assets that WisdomTree has the highest return for return on our assets or 2.83%, but we're so liquid in respect that another $200 million, $300 million in assets and that return on asset starts to change dramatically. That's just important. And we've been through this run where we see that asset flow that we're so tightly wound that $1 billion on assets just explodes the financial returns and returns on assets. On the pretax margins, WisdomTree is 36%. Invesco still has from their other assets, mutual funds and other funds, the challenges and they'll work them through. It's a good company, but U.S. Global is about 20%. The dividend yield for U.S. Global is less than Invesco and quite often in the public arena that if your pretax margins are negative and your yield -- the stock is sold down, so your yield is higher, and that's what we're seeing. WisdomTree had bigger ETF flows, which we explained to you earlier, there was a lot of flows in the industry, and they captured a fair amount. And with that, their stock price has appreciated. So therefore, their dividend yield is less unless they increase their dividend, which they have not seen. And then we have price to EBITDA. So you can see that Invesco is the least -- is the cheapest, but it's because they have margin issues to wrestle with. And hopefully, the worst is behind for them. I think then they would pop. We're at 16. WisdomTree is at 13. So that would undertake to say that we're overvalued. But I would share with you $1 billion of assets going into WisdomTree versus $1 billion coming into grow, there's much more -- a bigger bang for the dollar coming into grow. Next, please. And that's why we have a higher price to EBITDA. I believe and I'm sure some of the savvy hedge funds that own us, they would have different views on this. And that's what makes it -- they call it your mosaic and every asset class and every portfolio manager, they have different mosaics of prisms of how they look at different categories in the full spectrum of the capital markets ecosystem. Grow [ 3.17 ], $1.4 billion at year-end, now $1.7 billion, $2.5 million quarterly operating revenues. Next, please. A look at Q2 for 2026. The company has a steady cash flow despite a volatile and challenging macro market environment. The company has a strong balance sheet, which includes both cash and other investments. So the company continues to buy back stock on flat or down days and pay a monthly dividend. Next, please. Smart beta 2.0, it's an important thought process that we've sort of pioneered and the concept is both the portfolio design top down and then bottom-up factors that relate to a thematic product of the stock. So your stock weightings and then the individual names and what factors you use because we have found that factors for picking gold stocks are different than picking luxury goods that are different than picking global resources. And quite often, when you get into resources like global resources, you have to have a bigger weighting into a GARP products such as you would look at -- you want the lower EBITDA to enterprise value, cash flow to enterprise value, the cheaper, the better because there's tremendous mean reversion across the various resource industries. But we believe that using smart beta factors and a thematic fund lineup sets us apart from our competition. Our quant approach back tested thousands of hours over decades of data to determine optimize portfolio construction stock factors to rebalance each quarter. As we've gone to monthly, it has changed some of this. But really, we're still keeping the weighting similar, but we're taking a look at other factors, especially in the gold space for GOAU. So we can capture more momentum that is taking place in the stock space. And we're seeing that in IBD last year for the first time in over a decade, gold stocks represent in the top 20 names, something like 40% are gold stocks because they have the strongest growth and momentum in revenue, cash flow and earnings. So they would show up. And that means these gold stocks are attracting other technology. What I love about IBD is that it's agnostic to the industry. It's more focused on the momentum value factors and institutional liquidity. Next, please. So why gold and why we're a great proxy for the gold industry. Not only have we been writing for this and have over 100,000 readers in 80 countries. And if you're not a subscriber to Investor Alert and Frank Talk, it's free. I highly recommend it to you because it really is a great thought process from the investment team, along with myself on things I see and do that show up in unique writings and observations in capital markets. But what's driving gold, especially this decade? Well, we get a lot of these gold bugs like I've experienced with the Bitcoin fanatics. And -- you find out that the fanatics really don't own much gold or Bitcoin. They just don't like governments. It doesn't matter if you're a Democrat or Republican. They're very opinionated and you just have to sort of manage what they anchor to is the U.S. debt is out of control, it's going to crash, et cetera. And it is. It's very, very difficult of what's going. But you have to put it in a global context of what the other issues are besides this debt. And I'm going to walk you through if you use some of the gold bug original analysis of how they would forecast the price of gold, and I will walk you through that. But we're in that space. And it's important because I think this is an under-loved space, and I think we have the opportunity of building GOAU to $10 billion in assets. Next, please. So the big picture is really to look at this century. And this century, we have seen gold outperform the S&P 500. Well, why is that? Well, this century with the World Trade Organization was created in the '90s, China comes in 2002 and the whole world starts to take off after the crisis that we had with a tech bubble in 2000, where many tech stocks are trading at lofty values per revenue, per share, and they never -- 50x revenue per share. All they have were eyeballs, no cash flow revenue, everything cater, but the Internet continue to grow and prosper and we bring in a new way. But during that whole cycle is this concept of modern monetary theory. And the theory is that we can print our way out of this. And then when the economy turns, we'll buy back the debt and shrink it. Well, they just don't do it. And each major crisis means that it will be more than twice the amount of money for the last crisis. And so if you have the G20 countries, that's all you have to follow, and we believe that monetary and fiscal policies are precursor to change. In fact, we put it in all of our prospectuses and that we track and monitor this to give us an idea from a macro thematic point of view. Well, it's not going away. And what's changed as we saw with the World Economic Forum with Trump and the executives team he had over there, is that used to be with the World Trade Organization, the greatest theme was, first and foremost, was trade, global trade, and it worked. It brought so many people out of poverty and it helped China and India have accelerated GDPs per capita. It was a phenomenal exercise. But things started to morph and change after 2018, and I'll walk you through why that happened. But there was a change taking place. And so the gold theme didn't go away because the money printing continued for trade and helping with social causes everywhere and experiments everywhere in the world with money. The amount of money that the U.S. government was given to all these NGOs. I even had a friend that has an NGO of Canada, and he was upset because he wasn't going to get the $9 million a year from the U.S. funding. And it amazed me that we were giving money to NGOs and other countries to go and do causes, and that's all changed now. And it's changed because the priority was first trade, then national security. And then open borders, that whole concept that didn't bother people because it wasn't a top priority to many of the United Nations and Europe, et cetera. Well, it's now flipped. So what's #1 priority is security, then trade. And that was very evident with Trump and his Chief of Staff and Chief of Commerce, Chief of Trade, Chief of State, all speaking at the World Economic Forum and NATO. And so it's recognizing that the government is going to continue to spend money, raise money, debt funding, but it's going to go into national security and sovereign issues. So that means follow the money is a little actually easier to follow what industries are going to really benefit from this. But it's not going away. Next, please. So when you look at the gold bugs when I first got in this business in 1978, and one of the big parts was what's the total debt. So I used to when I got the first in the business, if we go to the far right, what's the total federal debt, and it's $38 trillion, and you take the $38 trillion and you divide it by 8 billion ounces of gold that are above the ground that are known for jewelry, known as security for companies and security for central banks, et cetera. So gold is now $5,500. So based on only $38 trillion in debt, gold has reached this target. I've always used that as a good proxy for where it's going, but then I'd like to take a look at the arbitrage, what is the total U.S. debt. And so if you look at the total U.S. debt, it's about $110 trillion. Now you divide that by 8 billion ounces. So gold could go to $13,000 over the next 5, 10 years, and the base looks like it's around $4,700. And so we still see that pressure going higher. So now we talk about the rest of the world. Well, China wants to dethrow the U.S. dollar. And they have -- when they -- Xi Jinping, it's really changed since 2018 when he became dictator for life, and he's done several things that are very significant, and he goes and focuses on just the U.S. debt scenario. But really, when you look at China, they have more debt as a whole. And so it's a bit as a percentage of their GDP, they're more leveraged than us overall. But the real attack is to dethrow the U.S. dollar for global trade. And the missiles have been attacking us in every form and fashion. So one of those parts was to trade oil was Saudi Arabia and they said, they wanted to -- China wanted to take Chinese yuan. And Saudi Arabia told them 5 years ago, no, they have to own more gold. So they've been steadily buying more gold. They could buy all the gold in the world mine right now for the next 8 years, and they still would just barely get relative to where Fort Knox is. So they're going to be an important dent in that overall bid for gold. And so we still -- the difference is that these other countries, they carry the gold mark-to-market. We carry the gold at $35 an ounce. And we went to market to market, our debt to equity to gold, et cetera, would go through a big change. And maybe under the Trump administration, that would happen. But that would still create more pressure, I think, for gold to trade higher and the valuation of gold would be higher. So I'd like to take a look at, okay, here's the U.S. Now let's look at the rest of the world. And when we look at the rest of the world and you say global M2 supply, well, that is -- a well-known analyst used to always use this as a forecasting tool, and that would be $120 trillion divided by 8 billion ounces. Now we're talking about $15,000 an ounce of gold. And then if you take a look at all the global debt in the world and all the members of the United Nations, and you put that together divided by 8 billion ounces of gold, gold is $43,000. So gold is a very attractive asset. It's not overvalued. I'm asked, is it overvalued when it hit $4,500? And I said no. And I'm going to explain to you, this is one of the reasons why and why GROW is uniquely positioned to participate in this reengineering of investors to all of a sudden buy more gold and gold stocks. Next, please. So gold continues to reach all-time highs. Next, please. But more important, it's more than doubled the S&P this century. And I tell this -- I give this slide out all the time and people actually don't believe it. And I've always advocated for 35 years, the 10% golden rule, you should have 10% in gold and gold stocks and rebalance every year, and you would have outperformed overall markets. It's been -- and we're seeing more and more asset allocators come in to wanted to have gold and gold stocks. So this is a classic example that gold has been a great diversifier. Next, please. Ray Dalio believes that a well diversified portfolio should have 10% to 15% in gold and so you got to remember, he's over $150 billion, the largest hedge fund in the world and very popular author and videos and movies that are free, very educational on the global scene, a Ted talk speaker. So Ray Dalio, who I met in 1970 -- 1980, 1981 in that period, I met at the Contrarian Forum in Vermont in the fall at a fund management conference. And so I'm really aging myself now, but I think it's really been helpful to put this in context what Ray Dalio believes having gold as social investors. Next, please. But here is a very compelling visual. And one of the ideas that I saw before is you take the U.S. ETF market and you take all the gold ETFs you divide them in and you say what percentage are gold related. And you can see that gold in 2010, 2012 is when Xi Jinping, the leader of the Communist Party and dictator in China came to power. And then by 2018, he cements himself as dictator for life and really becomes a Mao type of communist party person, and he has some strategies to control the world and to dethrow in the U.S. dollar. What we saw in America was a deinvestment in gold, even though gold continued to outperform. It was so frustrating for me to explain which I've shared with you earlier, and there was one group that would be buying these RIAs and tell them they weren't allowed to own individual stocks, only ETFs and never gold. So I've told now that they've just finally gone into gold and they missed this whole part. And we used to have one that had, I think, $20 million in our gold funds, and they had to redeem because the new owner did not believe in gold as an asset class. But I think we're going to see this mean reversion take place that gold is going to end up being back to 8% in gold stocks, 8% of all ETFs. So I believe the wind is at our sail, and it makes me very comfortable with where GROW is positioned for this move. Next, please. So silver reached an all-time high. I get more calls and interest on silver. Silver has gone through in copper, both of them have been where the spot price has been basically more expensive to get physical delivery than what the futures price was saying. It's very weird and the supply of gold has really been going through the inventory. And I kept saying that once that happens for more than a year that we're going to have this big explosive move, and we have. It's been a phenomenal move in silver. But there's things that inflection points that happened in capital markets that change. So we saw silver climbing with gold. And it was having this nice price appreciation and you see everyone start publishing their gold-to-silver ratios and this and that and why silver. And I was a big believer that silver is an important component for other factors. But what really made it take off besides the speculation came into it, but silver officially was added to the list of critical minerals, under the Trump administration, that was a game changer because we've seen that the government has been investing. And the government itself since World War II has had silver as a strategic stockpile because they know they need silver for weaponry and the same thing in Japan and the same thing in China. So I said to you earlier that there was a huge shift in Trump going from top priority was trade to #2 with top priority is national security and sovereign security. And we see things like silver being critical minerals. All of a sudden, there's a new wave of institutional buying silver. And you see a short squeeze going on, and then you see highly leveraged players jumping in for the speculation. It has this incredible run and then it has a 40% drop in 1 day because the futures, which were leveraged at the beginning this year -- a year ago was like 10:1 leverage, and they basically removed the leverage to do everything to try to slow down the correction. And I think a bunch of stop losses got hit. And then we had in January, what's really important for investors to recognize for silver was the unwinding of the Japanese carry trade, and that was approximately about $500 billion because the Japanese yen yields were rising and a lot of hedge funds have borrowed and cheap yen and reinvested in U.S. assets, a lot of leverage like silver. And all of a sudden, now they had to unwind. And it all happened at the same time, and that was a normal probably healthy correction. Gold has rebounded. Silver will slowly climb from its lows on that correction. But I remain very bullish on the asset class. And I share with you, don't put all your jump all in, but buy -- have cash to buy in the down days. Next, please. So thematic trends, capturing exposure through our funds. GOAU is focused on royalty and streaming. It's a more conservative path of looking at the space. And now it's becoming where there's an active ETF for us, it's going to have a greater tilt to growth and momentum in revenue and cash flow that's driving that royalty. Senior mining companies, that would be user x, longest data points. It was the first no low gold mutual fund in the world, long, long history. And then USLUX and connecting the dots, I learned about Bitcoin because of my knowledge of gold. And I learned about data centers because of Bitcoin is in data centers. And then I learned about the idea of creating a war ETF. But in that journey, I learned that 60% of all gold demand is love and it's predominantly of Asia and the Middle East that buy and give gold for weddings, for birthdays, for religious holidays. There's a huge drive for it. And it's highly correlate to rising GDP per capita of other nations that have this cultural affinity. And so 40% is fear. And what China has done is ignited that fear element, which has been pushing up on the gold and use Orex is in the senior gold producers only. What I also noticed in what they call the K economy today is that luxury goods, what I saw in places in Dubai, going to Singapore, just the tremendous growth in high net worth people, how the smarter luxury companies were creating a scarcity. You can go to Hermes store and you can see a Birkin bag in the window, but you can't buy unless you're on the President's list and you can only buy 2 a year. Very few get on that list. They're mainly sold out and they're used -- they're bought by the 1% of the world's population. They buy them and store them as like people buy art. You got a new Warhol back in the day with Warhol print that came out of Mao $1,000 each year was a different color face of Mao. They went to $50,000. And so you're seeing this happen with cars. You're seeing that power companies turned around, and we saw that with Rolls-Royce experience, Bentley, even the Porsche has done it. And we know that Ferrari is the best masters of the universe of only producing so many cars at each year raising the price. So they become collectors' items. And so the Birkin bag is a collector's item. If you can get one at the store and the open market, it's worth 3x more. It's recognizing this sort of thought process as a business model, and that's where luxury goods is. And it's the only real fund that's out there. 10% is in quality gold stocks and has far outperformed any of its peers. Next, please. So back to Ray Dalio, capital war fears. The monetary order is breaking down. He says, that's why for gold. Next, please. And a lot of that is the fear element. This is to give you an idea of the Russian Arctic installations as the climate change has taken place and there's been melting of ice. Russia has built 40 icebreakers, of which I think 10 are nuclear. China, out of nowhere says, oh, we're near the Arctic and we own the Arctic too, and they built 5 icebreakers. They have more icebreakers than America or Canada. So now there's a big push in Canada and U.S. to build more icebreakers because we have to protect because China was trying to buy a World War II military bases in Greenland, and that's a great concern while Russia basically created all these missile places and launches. Next, please. That fear trade shows up in gold. Next slide, please. So Greenland, I honestly disappointed the President Trump. I think he takes his presentations and runs it through open shot and takes them down to Grade 3 to talk to the masses. But the whole theory in Greenland really is about strategic missiles coming across and the early warning system on the DEW line in Northern Canada and Greenland is key to stopping America from getting wiped out by Russian ballistic missiles. And so the idea of Greenland with only 57,000 people really changed when China showed up with billions of dollars to build 4 big airports for military planes. Why would they do that? So this sort of storytelling gets out there, and we're seeing central banks now becoming worried and they're buying more gold. Next, please. This gives you an idea of the military basis and shipping groups around the Arctic circle. They call this the Ice Arctic Silk Road. But it is become a serious issue. I think in 2018, Russia sent to the bottom of where the Arctic circle is. It was on the Canadian side and said it's their -- they sent a water aqua drone down to the bottom and plant the Russian flag. I mean these are sort of [ martial ] type of activities by Putin and Xi Jinping, and that greatly concerns the State Department. Next, please. So China's BR. I thought this was a great idea. It was a romantic idea of Marco Polo and [indiscernible] that's the silk road between China over to Turkey and opened up for trade and China would bring through how to make railways through difficult areas, et cetera. But really all along for Xi Jinping, it's been a Trojan horse. Can I get into your economy, and it was originally 12 countries. Next, please. And now it's grown to 150 countries. So I really want to know how many countries in the United Nations is 193. So that means China has lent to 75% of the UN is influenced by China. It's $1.3 trillion to 150 of the 193 countries that represent the United Nations, they are having a big influence. And they are saying that you can't trade in dollars and so people have to trade at [indiscernible], then they have to go find a currency, a bank that converts that into dollars to buy anything from America. It's just this assault. So they weaponize one belt one road into one belt one road of communism around the world. We've seen democracy fall to an all-time low. You see on this map of Australia, what Darwin is. Well, Darwin is one of the biggest ports for exporting iron ore and it's also where the biggest cable is for moving information to Singapore. Strangely enough, the Chinese bought this 10 years ago, the government from -- the government paid $500 million but Australia has done a 180 on that because they did military excursions all around the island of Australia showing their aircraft carrier and their weaponry. And Australia said, okay, we can't trust them, and we're buying back the port and China try to block it, but it's going to happen as I was at an event in Harvard 2 weeks ago, and it was all about, Rudd spoke, the former Prime Minister, and that's going to take place. So that tension shows up in the world of gold. The money printing shows up in gold. So it's important for investors why I believe as we're comfortable we're in a secular bull market in gold. Next, please. So these are some of the companies in our war ETF, innovative and RTX, Raytheon. You can see the great charts. Next, please. So we found this product is understanding where money flows because the budget of the government is pretty straightforward. We're going to go and spend $1 trillion. And of that, half of it is going to be for health care and salaries of the military. Now we left with $500 billion of that $500 billion. This as much is going to go for tanks. This is for aircraft. This is going to go for cybersecurity. It's pretty easy to figure out now. So which companies get the contracts and have the strongest revenue momentum, they're the best performing stocks. And you can do data analysis going back. So I want to share with you that I think that cybersecurity is 28% is coming down. Semiconductor is okay, but we're basically looking at these thematics and recognizing why they're so important for battle. Next, please. Because the priorities of the world have changed. And this is a classic example that when [ Noriega ] was captured in 1989, many American soldiers were killed. None were killed on the last attack of going in and getting [indiscernible]. And if you look at the next visual, and I can explain to you connecting the dots. Next, please. There's the hyperlink between military aircraft with which you can see in the bottom left-hand side, this is NVIDIA's super cluster chips. And that hyperlink is so important with the aircraft, with the aircraft carrier and along with satellites and space, that movement and flow is how they were able to go in with a minimum amount of anyone being wounded. So this is a growth cycle, and that's what I learned regarding HIVE is that HIVE is in the data center business. It's building Tier 1, Tier 3 data centers, Tier 3 data centers are for high-performance computing, AI, and it's only a growth cycle. There's a shortage of manufactured parts to make these data centers, but the demand is huge. You just think of it being people like you want to use open chat and Grok. Now it's bigger than that because the U.S. military is trying to buy as many data centers as get contracts. They don't want to own the data center. They want just a contract. You have H100, 200 chips there, and they're going into contracts that last a good period of time. Next, please. So now I'm going to turn it over to Lisa. I've been very long-winded. I apologize. I'm sorry, but I really want to try to paint a picture that I'm so enthusiastic that the wind is hit on our sail. Gold has much more upside. There's many factors for that, and that led to the creation of a new product called war. It's the application of AI as America rebuilds all of its military and drones. So there's going to be much more money going into that, and we will capture that in war with an active ETF. Last year, the market was up about 12%, and our war was up 24%. So it's doing a great job. I'm very thrilled about it. And gold, it has much more on the upside. So thank you very much, ladies and gentlemen. Now I'll turn it over to Lisa Callicotte, CFO.
Lisa Callicotte: Thank you, Frank. Good morning. On the next slide, I'll start with kind of an overview of our financial highlights. Average assets under management were $1.48 billion, and our operating revenues were $2.5 million. Pretax income was $535,000. We move on to the next slide. This talks about the breakout of our earnings. We have operational earnings, which is made up of our advisory services. And then we have other earnings, and this is mainly made up of realized and unrealized gains and losses on our investments. Both our advisory earnings and our investment gains and losses fluctuate based on market forces. As we travel to the next slide, we'll get into more details of our financial statements for the quarter. Our total operating revenues was $2.5 million for the quarter. This is an increase of $279,000 or 13% from the $2.2 million in the same quarter last year. The increase is primarily due to increases in the US GIF assets under management, especially in our equity mutual funds. And this was partially offset by a decrease in our Jets ETF assets under management. Operating expenses for the current quarter were $2.6 million, a decrease of $172,000 or 6%, primarily due to decreases in general and administrative expenses of $207,000 or 15%, mainly due to lower ETF-related costs and was partially offset by an increase in employee compensation benefits of $45,000 or 4%, mainly due to higher bonuses based on performance. On the next slide, you can see our operating loss for the quarter was $88,000, but it was a favorable change of $451,000 compared to the same quarter for fiscal year 2025. Other income increased $200,000 compared to prior year, mainly due to unrealized gains and losses on investment securities in the current year being $28,000 compared to unrealized losses in the prior year of $221,000, resulting in a favorable change of $249,000. Realized foreign currency gains were $57,000 compared to losses of $239,000, again, another favorable change of $296,000. But these changes were partially offset by lower interest and realized gains due to principal payments on the HIVE convertible debenture. Net loss after taxes for the quarter was $846,000 or a loss of $0.07 per share, which is an unfavorable change of $760,000 compared to net loss of $86,000 or $0.01 per share in the same quarter of fiscal year 2025. But this net loss was due to a tax adjustment of approximately $1.3 million related to the tax treatment of certain securities. The company has filed a tax accounting method change with the IRS related to those securities, and we expect to record an offsetting benefit in the quarter ending March 31, 2026. The net tax expense related to the method change is expected to be 0 for the fiscal year. But due to GAAP reporting requirements, we recorded an expense in the quarter ending December 31, 2025, and then expect to record an offsetting benefit for the quarter ending March 31, 2026. Moving to the next slide. We see we have a strong balance sheet, includes high levels of cash and securities. Cash and cash equivalents was approximately $25.2 million at December 31, 2025, an increase of approximately $675,000 or 3% since June 2025. Current investments totaled $9.2 million. On the next slide, we see our other assets and the total of all the investments included in other assets is approximately $6.5 million. On the next slide, you see our liabilities. They did increase from June 30, 2025, by approximately $193,000. And on the next slide, you can see our stockholders' equity detail. And at December 31, 2025, our company had a net working capital of $36.7 million and a current ratio of 19.4:1. With that, I will pass it over to Holly to discuss marketing and distribution.
Holly Schoenfeldt: Thank you, Lisa. All right. On the next slide, this highlights our commitment to delivering timely original market insights through YouTube and TikTok, which both are powerful platforms for engaging both new and long-time shareholders. Some of the recent highlights include our popular videos on gold, what's driving it and what could come next, along with 2 global market updates featuring retired Lieutenant General, John Evans, who shared valuable geopolitical insights with us just recently. So if you have not seen those, we encourage you to visit and subscribe to our YouTube channel to stay current with our latest content. On the next slide, I'd like to spotlight several recent interviews featuring Frank Holmes from the past quarter, including appearances on Money Metals Exchange, PreMarket Prep, which streams live on YouTube and X. We have Investing News Network and finally, Financial Fox. And all of these can be found on their respective websites or channels, but also we share them across our social media channels as well. All right. Moving to the next slide. You can see here that it's our updated 2025 periodic table of commodity returns. So this is one of our most popular annual pieces, and it is fully interactive on our website. So you can click on any individual commodity to track its highs and lows over time, making it an engaging way to visualize the leaders and laggards. It also offers helpful perspective on what drove results last year and which areas may be poised for a correction or a rebound this year in 2026. All right. On the next slide, we always like to recap the most read Frank Talk blog post during the recent quarter. So as you can see here, the top theme that remained in focus for another quarter was gold for sure. We hosted a webcast at the start of the year also about a month ago, covering precious metals and the commodity space and commodity moves are definitely another area of the market where investors are focused and really paying attention to. All right. Finally, on my last slide, I want to encourage you all to follow U.S. Global on social media. We're on X, formerly Twitter, LinkedIn, YouTube, Instagram and Facebook. So wherever you prefer to get your news, be sure to check us out. That way, you're up to date on everything that's going on. All right. As a reminder to our audience, if you have any questions today, please e-mail us to info@usfunds.com, and we will gladly follow up with you to get anything clarified that you may need more information on. Thank you so much for tuning in today.